Operator: Hello, and thank you for joining us for i-80 Gold's 2025 Third Quarter Conference Call and Webcast. Today's company presenters include Richard Young, President and Chief Executive Officer of i-80 Gold; Paul Chawrun, COO; and Ryan Snow, CFO. Before we continue, please note that some of today's comments may contain forward-looking statements, which involve risks and uncertainties. Actual results could differ materially. I ask everyone to view Slide 2 of the presentation, which is available on i-80 Gold's website to view the cautionary notes regarding the forward-looking statements made on this call and the risk factors related to these statements. Following today's formal presentation, we will open up the call to your questions. I will now hand the call over to Richard.
Richard Young: Ludy, thank you very much, and hello, everyone, and thank you for joining us today. Looking at Slide 3. The third quarter marked another solid quarter of execution with visible progress toward the key milestones within our development plan that we launched 1 year ago today. We continue to advance towards our goal of creating a Nevada-focused mid-tier gold producer. At Granite Creek Underground, project ramp-up continues. Mine grades and tonnages continue to reconcile well against the model. And groundwater is being managed with greater control, thanks to the newly improved infrastructure installed in Q3, while we make progress on a permanent disposal solution, which is on track for the end of Q1 2026. As a result, we expect to meet our 2025 consolidated guidance of 30,000 ounces to 40,000 ounces of gold. Importantly, gross profit continues to improve as we stabilize Granite Creek, moving from a loss a year ago to a small profit, still a long way to go. On the development front, in September, construction commenced at Archimedes as planned, which is an important milestone marking the start of our second underground mine. Start-up activities and decline development are tracking very well. The Lone Tree plant refurbishment study is substantially complete. At the same time, drilling programs, technical studies, and permitting activities also progressed across the portfolio during the quarter, keeping us on track towards our key project milestones. The prize here is to realize the net asset valuation of the 5 gold projects as outlined in the most recent PEAs, which indicate a total valuation of approximately $5 billion under a $3,000 gold price scenario. Looking at Slide 4. I believe that the company's success depends on its people and culture. In this quarter, we continue to strengthen both. Beyond geology, Nevada's skilled workforce is a key reason it remains one of the best mining jurisdictions in the world. We've hired quality talent over the past 3 months in key roles from engineering, geology, construction management to permitting and community engagement that will help drive project execution from the ground up. With our focus on long-term value creation, we continued with steps to further mature as a company. During the quarter, we advanced an initiative to refresh our mission, vision, and values and establish a sustainability strategy with ERM, one of the leading sustainability firms in the field based on our new development plan. In addition, we're in the process of expanding our focus on performance-based culture across the organization. All of these initiatives will be rolled out shortly, and they are very important as we look to attract and retain the best people in Nevada to execute on our development plan. As i-80 grows, we're building a company that reflects not only operational excellence, but the values that we stand for. We also continue to evaluate ways to accelerate value creation, such as the potential to bring forward a pre-feasibility or feasibility study on Mineral Point, our most valuable asset to enable earlier permitting. That leads me to the recapitalization plan. We're engaged with a number of groups and remain confident that we'll secure a financing package by mid-2026 to support Phase 1 and Phase 2 of our development plan as well as the engineering and permitting efforts required for Phase 3, which is Mineral Point. I'll now turn the call over to Paul to expand on the project updates. Paul?
Paul Chawrun: Thank you, and hello, everybody. Turning to Slide 5. Operations at Granite Creek and Archimedes have made good advances over the quarter. There are many moving parts across the portfolio, but we continue to execute and derisk the plan with the necessary work underway. At Granite Creek Underground, mining activities continued to ramp up during the quarter with increased access to mineralized material from ongoing stope development, assisted by improvements to the dewatering infrastructure installed during the quarter. September was a particularly strong month for advancement of the main decline with record monthly development. Total mined ounces and tons continue to reconcile well on a level-by-level basis when compared to the current geological model. As we continue to ramp up operations, we continue to increase the drill density to improve ore control and the overall mining productivity. In the quarter, we mined approximately 15,000 tons of oxide mineralized material at a grade of about 9.8 grams per ton of gold. Note, we continue to encounter higher-than-anticipated high-grade oxide material at depth. We also mined approximately 20,000 tons of sulfide material at a grade of about 10.7 grams per ton, plus an additional 15,000 tons of incremental low-grade oxide material of just under 3 grams per ton of gold. Gold sold totaled 7,400 ounces and 16,400 ounces for the quarter and 9-month period, respectively. The stockpile of sulfide material, which is processed by a third-party autoclave was normalized by quarter end. Regarding the dewatering program, we've made significant progress and are now able to remove this from the underground workings as needed. A more reliable pumping system was commissioned during the quarter, enhancing operational efficiency and enabling more effective water management in the active mining areas. Of the 2 additional surface groundwater wells planned, one is now complete, and we are currently drilling the second. To support long-term groundwater management and future operating stability, installation of a second larger water treatment plant remains on track for completion at approximately the end of the first quarter of 2026. This plant is designed to enable the ultimate discharge of water to prevent it from re-entering into the underground workings. At Lone Tree and Ruby Hill, we continue recovering gold from the existing leach pads with a total of approximately 2,000 ounces recovered and sold in the third quarter. Moving to Slide 6. Drilling of the South Pacific Zone continues to progress well at Granite Creek underground. Just under 10,000 meters of core drilling was completed by the end of the quarter from 20 of the 40 planned holes. As of today, we have completed 35 holes, but have added an additional 7 holes to the program. As outlined in a press release in September, initial assay results from the first 6 holes confirm robust high-grade mineralization throughout the South Pacific Zone with several strong intercepts that confirm continuity and the potential for expansion to the north and at depth. The deepest and furthest step-out hole intersected primary fault structures where expected and returned standout grades, including 33.6 grams per ton over 2.9 meters and 29.7 grams per ton over 3.6 meters. And overall, this intercept was over 21 meters at just over 10 grams per ton. A summary of the assay results are outlined in the September 10 press release available on our website. Encouraged by these results, drilling advanced beyond the current structural boundary, opening a new untested area to potentially expand the known mineralized areas. The program remains on track for completion in December of this year, supporting a feasibility study with an updated mine plan targeted for completion late in the first quarter of 2026. Overall, we're very excited with the turnaround progress and longer-term potential at Granite Creek. Turning to Slide 7. Things are off to a great start at Archimedes underground. In early September, we received permits to the mine -- to mine the upper level above the 5,100-foot elevation to initiate construction. Underground development is advancing above expectations, reaching approximately 300 feet at the end of the third quarter and over 1,000 feet of drift advance as of early November. Work is underway on the geochemistry and hydrogeological technical studies required to secure permits below the 5,100-foot elevation. Beyond permitting and development, infill drilling commenced in the Upper 426 zone, the first week of November as planned. Initiation of drilling in the Lower Ruby Deep zone is scheduled for the second quarter of 2026. In total, the program comprises of over 175 holes and 55,000 meters of core, forming the basis of a feasibility study targeted for the first quarter of 2027. Next, let's turn to Slide 8 to discuss the progress at the remaining projects. At Cove, over 40,000 meters of infill drilling was completed on a 30-meter spacing across the Gap and Helen zones. The results of this work delivered meaningful advances for the Cove project, which significantly strengthened our geological understanding to improve confidence and continuity and grade, improved understanding of the metallurgical response to optimize feed and gold recovery in the autoclave and positions Cove for a strong resource conversion from inferred resources to higher confidence categories. The feasibility study is progressing as planned with completion expected in the first quarter of 2026. Major permit applications are also underway in anticipation of an EIS process. Moving to Slide 9. At Mineral Point, engineering work continues to progress to support permitting and define the timing of a pre-feasibility or feasibility level study. Given the project's strong economics and potential valuation uplift, a review of the completed technical work is underway to assess opportunities to accelerate drilling and the timing of studies subject to available capital. Moving to Slide 10. At Granite Creek Open Pit, the technical baseline work to advance the project towards pre-feasibility or feasibility study continues. An initial project narrative was provided to the regulatory authorities in the quarter to initiate field studies, and we anticipate an EIS process will be required. Geotechnical drilling and other field studies have been deferred into next year due to ongoing updates to the Granite Creek Underground operating permits, which are a priority. As a result, we are currently reviewing new timing for study completion with a lens to optimize future growth plans. Granite Creek Open Pit remains a Phase 2 opportunity with the potential to contribute to company-wide production towards the end of the decade. Turning to Slide 11, for an update on the refurbishment of our Lone Tree plant. Early works progress is on track and the updated Class III engineering study is substantially complete. The study updates an internal feasibility study that was completed in 2023 with design optimization and value engineering initiatives, includes a filter tail system, updates cost estimates with significant detail as there are approximately 14,000 lines for the project controls and a detailed execution plan completed jointly with our owners team leadership. Overall, the results are largely in line with our expectations. And once finalized, we expect to share these results in the coming weeks. In the meantime, the Board approved a limited notice to proceed in the third quarter, allowing detailed engineering to begin and enable the procurement of long lead equipment, which is progressing this quarter. The plant is permitted for the existing operational components in use. However, new and revised operating permits will be needed updating for the air, water, a new mercury abatement system, and revised closure plan that incorporates dry stack tails. The necessary environmental permit application are underway for the initiation of construction. A construction decision is anticipated in the second quarter of 2026 and a plant commissioning is targeting in the first gold pour for the end of 2027. Restarting the Lone Tree Autoclave is a cornerstone investment for the company, providing increased processing capacity and higher anticipated margins for the high-grade material feed from our underground operations. And with that, I'll now pass it over to Ryan for a financial overview.
Ryan Snow: Thank you, Paul. Starting my review with Slide 12. Third quarter gold sales nearly doubled over the prior year period to approximately 9,400 ounces. In addition, the company had approximately 3,400 ounces of gold in finished goods inventory at quarter end due to the timing of sales. Total revenue from gold sales increased to approximately $32 million for the quarter, driven by higher ounces sold and a higher average realized gold price of $3,412 per ounce. Cost of sales for the quarter rose over the comparative prior year period, mainly due to higher processing fees from increased toll milling of sulfide material. As Richard highlighted, we have seen a swing in our year-to-date gross profit from a loss in 2024 to a gain in 2025, a roughly $24 million increase. And Q3 marks our fourth consecutive quarter of gross profit. For the quarter, the company reported a net loss of approximately $42 million or $0.05 per share, which is similar to the prior year period. This net loss reflects the development stage of the company and our current period of strategic investment. Also, under U.S. GAAP, which we transitioned to last year, predevelopment, evaluation, and exploration costs are expensed until we declare mineral reserves. Cash used in operating activities of approximately $15 million compared to about $24 million in the prior year as a result of higher gross profit and higher working capital, partially offset by increased predevelopment, evaluation, and exploration costs that were expensed. We closed the quarter with a cash balance of approximately $103 million, a decrease from the previous quarter due to development spending and continued investment in drilling programs to support our technical studies and development plan. This balance is in line with expectations in our recapitalization plan. Moving to Slide 13. We're actively moving our recapitalization strategy forward. During the first half of the year, we secured sufficient capital to fund just over $90 million in construction activities, drilling, permitting, and technical studies across all 5 gold projects as well as the Lone Tree plant from May 2025 through mid-2026. We continue to execute a strategy that is focused on funding Phase 1 and Phase 2 of our development plan, which could include a new senior debt facility in the range of $350 million to $400 million, a royalty sale, and the potential sale of our non-core FAD project. The positive response from lenders and capital providers to date reinforces the strength of our assets and the significant value creation opportunities we see ahead for i-80 Gold. With that, I will now turn the call back to Richard.
Richard Young: Well, thank you, Ryan. Looking at Slide 14, you'll see a number of catalysts on the horizon. We're entering a transformational period with a clear line of sight to major milestones over the next 12 to 18 months. During this time, we expect to complete the recapitalization to fund Phase 1 and Phase 2 of our development plan, complete the engineering study for the Lone Tree plant and commence the refurbishment, achieve steady-state production at our first mine, commence production at our second mine Archimedes and ramp up, and lastly, complete feasibility studies for our 3 underground mines as well as the Granite Creek Open Pit and possibly Mineral Point. These efforts will run in parallel with permitting and ongoing drill programs. From a valuation perspective, i-80 Gold continues to trade at a deep discount to comparable developers despite a significant resource base with a growth profile that few can match, all within one of the world's best mining jurisdictions. And at today's valuation, we think the market is only beginning to recognize the potential. That concludes my remarks. We'll now turn it over to Q&A. Ludy, please, can you open the line for questions. Thank you very much.
Operator: [Operator Instructions] With that, our first question comes from the line of Omeet Singh with SCP Retail.
Omeet Singh: Thanks for the update on the question. Congrats. I had 2 questions around Granite Creek specifically. So the first was, where are you mining now? And when do you expect to be mining from some of the longer levels in the South Pacific zone? And then maybe the follow-on to that would be, it seems like you continue to be finding oxides even as you go deeper. So what is your thinking around that? And do you expect that to be, say, impacting plans for the autoclave at all?
Paul Chawrun: Yes. These are great questions. So first off, we're mostly in what's called the OG zone now. We have started the upper zone to South Pacific. And then next year, we're probably around 60% -- 60-40 South Pacific and then 40% on the OG zone. And then as time goes on, we'll be more and more on the South Pacific zone in the longer-term plans. And then regarding the oxidation, so it's primarily in the OG zone. There's a little bit of oxidation in the South Pacific. But fundamentally, what's happening is you get the surface water, the meteoric water and then it can oxidize some of the sulfide into oxide ore. And longer term, that represents an opportunity for us, as you point out, in the autoclave. But for the moment, we're feeding that off to our third-party processors, and we get slightly lower margins depending on the grade as the sulfide. So that's where we're at. And then would we stockpile? I think your question was, would we stockpile this ahead of our autoclave? Perhaps, and that's something we're evaluating.
Omeet Singh: Can you talk about the steps you're taking to put the oxide through the Lone Tree plant?
Paul Chawrun: Yes. So the autoclave can be bypassed with oxide ore. And so we're evaluating, once we get close to commissioning of that plant, there's potential for us to feed that through.
Operator: [Operator Instruction] The next question comes from Don DeMarco with National Bank.
Don DeMarco: So looking at the recapitalization plan, you have a number of different options to increase liquidity. One of them is a potential disposition of the non-core FAD asset. And we saw recently that the research -- the high-grade resource that was published. But in light of this resource, are you reconsidering maybe not divesting this asset? Or has your expectations, in the event of monetizing it, has your expectations increased?
Richard Young: Don, that's a great question. We've always been aware that it's a high-grade resource. Unfortunately, when we look at the development plan, we will not be able to get to that until probably the end of 2030s, early 2040s. And so if there is an opportunity where we can get fair value for it, we will look at it as part of the recapitalization. But again, if we don't get a fair price, we paid $88 million for it 2 years ago in shares. It is a high-grade resource, both the polymetallic and the oxide at surface. So we'd consider it, but we are evaluating all of our options with respect to the recapitalization, and that is one potential source of capital that minimizes dilution for shareholders.
Don DeMarco: Then looking at the Lone Tree Autoclave engineering studies pending release later this quarter. Of course, we're looking forward to a decision in Q2. So I guess for the sake of our modeling, how should we think about CapEx for the refurbishment and also for Archimedes development in 2026?
Richard Young: So looking at the autoclave refurbishment of $400 million, to use a round number, we believe that roughly $175 million will be spent in '26 and the balance in '27. And with respect to Archimedes, we would expect the development to be roughly about $40 million in line with the PEA, and then there will be some ongoing development. The way we see our communities today, Don, is very much in line with the PEA in terms of the spend. While we did commence construction later than as disclosed in the PEA, the team does appear to be making up that ground.
Paul Chawrun: Yes, yes. So in fact, if we may spend a little more in 2027 because we're advancing the development quicker. But for your model, I would use the PEA numbers. We're -- even though we started a bit later, we're more or less on track.
Operator: And I'm showing no further questions at this time. I would like to turn it back to Richard Young for closing remarks.
Richard Young: I'd like to thank everyone. I know it's a busy morning for conference calls. But as we close out the quarter, it was another solid quarter for us. And a year ago, we announced the development plan, and we've made great progress over the last 12 months. And we're very confident that we can execute on this plan, which will require the recapitalization, which is well underway. So we do believe that as we move into '26 and '27, we will be able to unlock the value of this significant resource base. But thank you, everyone, for your time. And if you've got further questions as you digest the materials that we've published yesterday, please give us a call. Thank you.
Operator: Thank you, presenters, and ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.